Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's First Quarter 2021 Earnings Conference. My name is [Shion] [Ph], and I will be your coordinator today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of this conference call. As a reminder, the conference is being recorded for replay purposes [Operator Instructions] I would now like to turn the conference over to Tim Owens, Vice President of Investor Relations. Mr. Owens, you may proceed.
Tim Owens: Thank you, Operator. Good morning, and thank you for joining Genworth's first quarter 2021 earnings call. Our speakers are remote this morning, so please excuse any sound quality or technical issues that may arise. Our press release and financial supplement were released last night, and this morning our earnings presentation was posted to our Web site and will be referenced during our call. We encourage you to review all of these materials. Today, you will hear from our President and Chief Executive Officer, Tom McInerney, followed by Dan Sheehan, our Chief Financial Officer and Chief Investment Officer. Due to applicable security law and publicity restrictions, our comments regarding preparations for an IPO of our U.S. mortgage business will be limited to our prepared remarks. Following our prepared comments, we will open up the call for a question-and-answer period. In addition to our speakers, Rohit Gupta, Chief Executive Officer, Genworth Mortgage Insurance, will be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors on our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our financial supplement, earnings release, and investor materials non-GAAP measures have been reconciled to GAAP, where required, in accordance with SEC rules. Also, references to statutory results are estimates due to the timing of filing of the statutory statements. And now, I'll turn the call over to our President and CEO, Tom McInerney.
Tom McInerney: Thank you very much, Tim. Good morning, everyone, and thank you for joining our first quarter earnings call. I'm pleased to report that Genworth delivered strong operating results in the first quarter, while making significant progress against our strategic plan. Today, I will provide a brief overview of performance across our businesses, as well as the progress we've made on our strategic initiatives since our last update. I will also spend a few minutes on Genworth's go-forward strategy. Then Dan Sheehan will discuss the quarterly performance drivers in more detail. Genworth delivered net income of $187 million for the quarter, and adjusted operating income of $168 million driven by strong performance across U.S. Mortgage Insurance as well as in our long-term care insurance business. U.S. MI reported operating income of $126 million, compared with $95 million in the prior quarter, and $148 million in the prior year. Relative to the fourth quarter, U.S. MI saw seasonally lower new insurance written, slightly higher earned premiums driven by insurance in-force growth, and a 16% decrease in new delinquencies. Results reflected a loss ratio of 22%, which compares favorably to the prior quarter due to higher reserve strengthening in the prior quarter, and lower losses from new delinquencies. U.S. Life reported operating income of $62 million for the quarter, compared with $125 million in the prior quarter, and a loss of $70 million in the prior year. Results were primarily driven by LTC insurance which reported adjusted operating income of $95 million, reflecting low new claim incidents and very high claim terminations, likely driven by COVID-19. Importantly, LTC earnings continue to benefit from in-force rate actions. We're optimistic about the potential for broad economic recover and expansion in the U.S. over the next several years as a result of the vaccine rollout, record federal fiscal stimulus program, and accommodative monetary policy from the Fed. And certainly still remain in the near-term however, and we are continuing to take a prudent approach to managing capital and carefully monitoring developing experience. As a result, we increased our U.S. MI and LTC reserves during the quarter. Overall, I'm very encouraged by our strong operating performance and the excellent execution from our teams over the past year, as we've all had to contend with the challenges associated with COVID-19. Our performance positions Genworth well as we move forward with plans to unlock shareholder value. Turning to our strategic plan, earlier this month, we announced the termination of our merger agreement with China Oceanwide. After four-and-a-half years of extraordinary efforts from both sides with those transactions, this was a disappointing outcome. However, as I've shared on prior earnings calls, Genworth is much stronger today, than it was four years ago, with significantly better prospects. As a result of a very good operating performance, strategic actions to enhance liquidity and reduce debt, and excellent progress to further reduce associated with our legacy LTC insurance blocks through a multi-year rate action plan and benefit reductions, I believe we are well-positioned to create future value as a standalone company. We are laser-focused on pursuing the strategic options that provide the capital and resources we need to further reduce holding company debt, ensure Genworth can meet its ongoing financial obligations, and chart a path to growth. We are taking decisive actions, and I'm very confident that Genworth's improved financial position will enable us to meet our future holding company obligations. We've made significant progress in generating liquidity and reducing debt in the first quarter through the sale of our ownership stake in Genworth Australia, and the retirement of $729 million of outstanding debt. We also implemented expense reductions resulting in $50 million of annualized savings, and continue to prepare for the planned U.S. MI IPO. We entered the first quarter with a strong liquidity position, and we expect to generate additional liquidity from future steps under our plan. The other strong track record of managing [multiple] [Ph] debt, we have a clear path to address the remaining debt, during September, and we are also confident in our ability to repay the balance of our obligation to AXA this year, more than a year ahead of our originally scheduled maturity day. After our September maturity is fully retired, Genworth will have reduced holding company debt by $2.2 billion or over 50% since 2013. Deleveraging will remain a top priority moving forward as we execute on our strategic plan. And Dan will cover our plans to address upcoming obligations in more detail. Related to our obligation to AXA, I also want to note that AXA has initiated a lawsuit in the U.K. against Santander seeking to recover payouts it made the policyholders for mis-sold payment protection insurance. Most recently, AXA filed the particulars of claim and a summary of particulars, documents which outline its allegations and claims in this action. Under our agreement with AXA, Genworth is entitled to certain recoveries AXA may receive from Santander. As I've said in the past, there are numerous examples of distributors and banks paying for the PPI mis-selling complaints. And we remain optimistic about the potential for recoveries. But beyond that, we cannot comment further on this litigation. Next, I'd like to spend a few minutes outlining the next steps in our strategic plan. With respect to U.S. MI, we remain focused in preparing for the public offering of a portion of our interest, subject, of course, to market conditions, as well as the satisfaction of various conditions and receipt of required approvals. We are currently in registration with the SEC, and as a result of applicable marketing and other restrictions I cannot provide any details about or discuss the timing of the planned offering. We will be very limited in our comments about U.S. MI today other than reviewing its quarterly results. As part of our strategy, our strong preference is to maintain sufficient ownership of U.S. MI so as to preserve the option to distribute the remainder to general shareholders in a tax-free spin-off in the future. After the IPO, we have no current plans to further sell down our stake in U.S. MI. And based on our expected debt reduction plan and strong cash flow profile, we have no need to do so to meet our upcoming fed obligations. That's all I can say specifically about the IPO process for now. As we work on the U.S. MI IPO and reduce our debt to a more manageable level, we are also pursuing the next chapter in our U.S. Life Insurance business. In particular, we are committed to developing and refining sustainable long-term care insurance business models. We are taking a three-pronged approach to maximize the value of our LTC business, and to monetize our deep expertise in this area. First and most importantly, we are continuing to mitigate our downside through our LTC multi-year rate action plan and reduce benefit options. Both of those will continue to reduce our risks. We have made exceptional progress on this effort through the end of the first quarter, achieving over $15 billion in net present value from LTC premium increases and benefit reductions, since 2012. Second, we are also exploring opportunities to partner with well-regarded third parties to launch a new long-term care insurance business in the United States. There is a huge need for long-term care solutions in the U.S., with 54 million Americans aged 65 and older at the end of 2019. And with that number expected to increase to 95 million by [2060] [Ph]. There are very few players in the LTC insurance market today due to severe financial challenges arising from legacy LTC business. We are evaluating opportunities to monetize our LTC expertise and own intellectual property in partnership with strong third parties to develop a number of new LTC products and services. Genworth and our potential partners believe this can be a profitable a business in the future while addressing a societal need. The key to success in the future is to learn from the past, to design new LTC products and services with lower and more predictable risk. We will also be working with the NAIC and state regulators to change the future LTC regulatory model to allow for timely and prudent management of LTC risk. Third, we are working with China Oceanwide to develop a strategy to address the significant need for long-term care solutions in China. We continue to explore joint venture opportunities building on the strong relationship, mutual trust, respect, and potential LTC business plans we have developed through working together over the last several years. The leadership team and I are excited and energized as we move forward with our overall strategic plan. We are remaining nimble and taking decisive actions to maximize the variable businesses. We have the right initiatives in place and the right team to do the execution of our strategy. We refreshed the board of directors during the first quarter with the addition of Jill Goodman, Managing Director of Foros Advisors LLC; Howard Mills, a former superintendent in New York Insurance department; and Ramsey Smith, Founder and CEO of ALEX.fyi. These three new independent directors bring a wealth of diverse experience and skills. I am delighted to have them on our board and look forward to their contributions. In conjunction with this news, we announce that our Board Chair Jim Riepe along with directors David Moffett and Tom Moloney intend to retire from the Genworth Board following the completion of their current terms in May. I would like to thank Jim for his exceptional leadership as Board Chair over the last nine years. Tom and David, the chairs our risk committee and compensation committee respectively, they provided many user service and excellent contributions to Genworth. The remaining Genworth board members and I are very grateful that Jim, Tom, and David were willing to remain on the board while we work through the strategic challenges of the last few years. Finally, before I turn the call over to Dan, I would like to highlight that Genworth published its first ever sustainability report on April 1st. We all faced our share of challenges in 2020. But as a company, Genworth continue to deliver on our promise to help families become more financially secure, self-reliant, and prepared for what the future may bring. At the same time, our commitment to advancing sustainability has never wavered. We recognize that the success of our businesses over the long run is linked to our efforts to help build a better society and a better tomorrow for our various stakeholders by caring for people and our planet. I encourage you to read more about our focus areas and impact in our April report. In summary, we are highly focused on executing our strategic priorities including with respect to our interest in U.S. MI, continuing to improve our legacy LTC insurance book, refining our go-forward plans for new LTC businesses in the U.S. and China, and making progress on deleveraging the holding company. And with that, I will turn it over to Dan.
Dan Sheehan: Thanks, Tom, and good morning, everyone. I am pleased with the continued progress made during the quarter with strong earnings and capital ratios in our U.S. mortgage insurance business and results from our LTC multi-year rate action plan. At our holding company, we continue to deleverage including fully retiring the February debate maturity, prepaying a material portion of the AXA obligation, and reducing the amount outstanding on our September '21 maturities. We also ended the quarter with more than $750 million in holding company cash. We reported net income available to Genworth shareholders in the quarter of $187 million and adjusted operating income of $168 million. Included in net income for the quarter was $33 million in mostly mark-to-market gains and a $30 million benefit in discontinued operations primarily related to tax items on prior divestures. These items were partially offset by $21 million in severance cost related to our previously announced restructuring. The U.S. mortgage and housing market continues to perform very well with increasing home prices, a large origination market, and continuation of decrease in new delinquencies from their earlier peak. We view the stimulus initiatives, forbearance extensions, and the strong home price appreciation as positives for delinquency in development, and ultimate claims. Overall financial results for U.S. MI in the first quarter were once again driven by growth of our insurance in-force and lower levels of new delinquencies compared to the prior quarter. For the quarter, U.S. MI reported adjusted operating income of $126 million, and the loss ratio of 22%. New insurance written in U.S. MI was $24.9 billion in the quarter, up 39% versus the prior-year, primarily driven by higher mortgage originations and a larger private mortgage insurance market. Although most of our peers have not reported, we estimate our market share will reflect a modest sequential overall market share gain in the quarter. The low interest rate environment and resulting high levels of refinance activity continue to drive low persistency levels in our insurance portfolio. Lower persistency has impacted our business in several ways, including partially offsetting portfolio growth from NIW increasing single premium cancellations, accelerating the amortization of our existing reinsurance transactions, and shifting our portfolio concentration to newer book years. Single premium cancellations continue to remain elevated, benefiting premiums during the quarter by $26 million, which was down slightly from the $30 million in each of the third and fourth quarter last year. In addition, we ceded $16 million of premiums related to our credit risk transfer program in the quarter, which is higher by $1 million sequentially given the expansion of our credit risk transfer program, while new delinquencies of approximately 10,000 during the first quarter was still elevated versus pre-COVID levels, they were down 16% sequentially, with approximately 54% reported in forbearance plans. New delinquencies resulted in $44 million in loss expense in the quarter and our expected ultimate claim rate was approximately 8%. Cures of approximately 13,500 were down 19% sequentially, and continue to outpace new delinquencies. We ended the quarter with approximately 41,000 total delinquencies or delinquency rate of 4.5%. In total, approximately 70% of our delinquencies are in forbearance, and 90% have mark-to-market loan to values reflecting at least 10% borrower equity using December 2020 home prices. Our servicer reported forbearance trends continue to climb from peak levels in May 2020, and ended the first quarter with 4.9% or approximately 45,000 of our active policies reported in a forbearance plan, with 36% of those in forbearance, still reported as current. During the quarter, we increased our reserves for pre-COVID delinquencies by $10 million pretax. The reserve increase primarily reflects our expectation that these pre-COVID delinquencies will have a modestly higher claim rate than the company's prior best estimate, given the slower emergence of cures. In U.S. Life, the segment reported adjusted operating income of $62 million in the quarter compared to adjusted operating income of $129 million in the prior-quarter, and an adjusted operating loss of $70 million in the prior-year. Our U.S. Life businesses continue to experience elevated mortality that we believe is attributable in part to the COVID-19 pandemic. In long-term care, adjusted operating income was $95 million in the first quarter, compared to $129 million in the prior quarter and $1 million in the prior-year. Underlying results continue to reflect the cumulative benefits of our approximately eight-year track record of achieving significant LTC premium rate increases and benefit reductions. Claim terminations were higher in the first quarter versus the prior quarter and prior-year, we did not require death certificates for LTC terminations, but we assume that the elevated terminations were primarily driven by COVID-19. We believe that the elevated claim terminations this quarter and during the pandemic are temporary and have primarily impacted our most vulnerable claimants. We increased our claim reserves by $67 million pretax this quarter, continuing our view that our remaining claim population is less likely to terminate than the pre-pandemic average. In addition, new claim submissions continue to remain lower than expected, driving additional favorable IBNR development of $29 million pretax during the quarter. We currently believe that the pandemic driven decrease in incidents is temporary, and that our incidents experience will ultimately resemble previous trends. Shifting to in-force rate actions for LTC, the overall benefits from in-force rate actions have remained strong. For the quarter, Genworth received approvals, impacting approximately $396 million of premiums with a weighted average approval rate of 40% on a cumulative net present value basis from 2012 through 1Q '21, we've achieved approximately $15.2 billion of approved LTC premium rate increases and benefit reductions. We expect strong approvals throughout 2021 based on our filings during 2020. Turning to Life Insurance, overall mortality for the quarter continued to be elevated versus historical trends and was up versus the prior quarter and year. The first quarter included an estimate of approximately $35 million after tax and COVID-19 related claims based upon death certificates received to date. Even absent, these COVID-19 related claims, mortality remained elevated during the quarter, consistent with trends observed throughout the pandemic. Term life insurance products continue to be negatively impacted by short lapses, although this impact will continue to lessen through 2021. Total term life insurance stack amortization reduced earnings by $13 million after-tax versus $18 million after tax in the prior quarter and $27 million in the prior year. In fixed annuities, adjusted operating earnings of $30 million for the quarter was higher compared to the prior quarter and prior year driven by higher mortality and favorable equity markets and interest rates. In the runoff segment, our adjusted operating income was $12 million for the first quarter, down slightly versus the prior quarter, and up from last year due to improve the equity markets and interest rates. Rounding out the results corporate and others adjusted operating loss was $32 million and was down from last quarter in the prior year, primarily driven by lower corporate expenses and interest expense. Our de-leveraging efforts this quarter and moving forward are projected to decrease the losses in the segment in the quarters ahead. Turning to capital levels and USMI, we finished the quarter with an estimated PMIER sufficiency ratio of 159% or approximately $1.8 billion above published requirements. The improvement in our PMIER sufficiency versus the prior quarter was driven primarily by the completion of an insurance link no transaction on seasoned loans, which provided approximately $500 million of PMIERs credit at the quarter end. Subsequent to the quarter, we also executed an ILN on a portion of our 2020 books, which will provide approximately $300 million of PMIERs credit. If we gave effect of this transaction in the first quarter of 2021, our PMIERs sufficiency would have increased to 176% or approximately $2.1 billion above the published PMIERs environments. These transactions, which are part of our credit risk transfer program, are assigned to provide cost-effective capital relief and reduce loss volatility. We expect capital in Genworth Life Insurance Company or GLIC as a percentage of company action level RBC to be approximately 255%, up from 229% at year-end. U.S. life statutory income in the first quarter benefited from earnings and LTC from trends in termination and incidents as well as from in-force rate actions. As we've discussed in the past, we have no plans to infuse additional capital into or extract capital from our U.S. life insurance businesses. Going forward, the U.S. life insurance businesses will continue to rely on the consolidated statutory capital of approximately $2.3 billion as of the end of the first quarter, significant claim and ALR reserves, prudent management of in-force blocks, and actuarially justified rate actions to satisfy obligations to our policy holders. For holding company cash, we ended the quarter in a very strong cash position, the $757 million in cash and liquid assets, or approximately $495 million above our targeted cash buffer. This excludes approximately $284 million in cash held at USMIs intermediate holding company, Genworth Mortgage Holdings, Inc. GMHI, paid 16 of the investor presentation provides the quarterly activity including proceeds of $370 million from the sale of our interest in the Australia business and intercompany tax payments of $87 million reflecting strong underlying taxable income from our U.S. insurance subsidiaries. The $729 million of debt reduction during the quarter includes the February debt maturity of $338 million, acts of prepayments of $245 million triggered by the Australia business sale and open market repurchases of $146 million of the September 21 maturities. As we look forward in 2021 with our cash on hand and the plan sale of a portion of our interest in USMI, our current plans include prepaying the remaining AXA obligation of approximately $345 million, and the current outstanding balance, on the September 21 maturities, of $513 million. This will leave $400 million due in both August 23 and February 24 to be covered by cash on hand and the resumption of U.S. MI dividends. After the February 2024 maturity, our remaining holding company debt is $300 million, due in 2034, and $600 million due in 2066. As Tom indicated, given the strength of our expected cash position and the meaningful benefits provided by tax consolidation, we have no further plans to sell U.S. MI beyond what is currently contemplated. In closing, we've taken numerous steps to improve the liquidity and financial flexibility of our holding company and the position of our businesses. We're pleased with our financial progress and remain focused on providing value to all key stakeholders. One final note, as Tim noted earlier, due to applicable securities law restrictions, our comments regarding the status of preparations or other matters related to a planned offering of a portion of our interest in our U.S. mortgage business will be limited to our prepared remarks. With that, we will now open the line for questions.
Operator: Thank you. [Operator Instructions] So, we will take our first question from Peter Troisi at Barclays. Please go ahead.
Peter Troisi: Hi, good morning, everyone. Thanks very much for the comments about how you're planning on approaching the debt and paying it down. I guess my question is it seems like you are going to use existing cash and existing cash flow or cash flow from existing businesses to effectively repay all the debt. But, down the road, if you no longer own U.S. MI or have a large stake in it, where will the cash flow come from to repay the debt?
Tom McInerney: Peter, that's a good question. And it's clear that the U.S. life companies, the legacy companies will not be able to pay dividends. And as we said, and Dad had said, we have no plans to put any money into those. But we are hopeful that with joint venture opportunities in the U.S. and China, with partners, so we'll be sharing the capital investment, but we would hope that over time those will be successful businesses in the new companies, not the legacy companies, that have a variety of long-term care insurance products and services, at some point down the road we'll be able to pay dividends. But for the foreseeable future the only dividends we would receive would be coming from U.S. MI based on our ownership in U.S. MI. Dan, do you want to add anything to that?
Dan Sheehan: No, I think you covered it pretty well, Tom.
Tom McInerney: Peter, anything else?
Peter Troisi: Yes. No, a couple quick follow-ups. It seems like then that you are contemplating in your cash forecasting, as it relates to debt repayment, you're contemplating some cash flow coming out of the life businesses which will be used to repay debt. Is that right?
Tom McInerney: No, right now we don't expect any dividends from our life companies, which I'll call the legacy companies. In the future, depending on whether we go forward with the joint ventures that I've briefly discussed, it's still early days on those. We would hope that those would be profitable down the road. And when they reach the required level of profitability they would be able to pay dividends, but there's no current expectations -- 
Dan Sheehan: Yes, I would just ask -- sorry, Tom. I would just add, Peter, that although while the -- as long as the U.S. life company has taxable income we benefit from the consolidation, the same as we do with U.S. MI, and that income will offset losses at corporate for debt service and other matters. And in fact, through that process we will create cash flow from both USMI and the Life companies that will be used to pay our debt service payments as well.
Peter Troisi5: Yes, that makes sense. And we've seen those cash tax payments benefit holding company cash over the past few quarters. Is there a way for us to gauge the size and frequency of those cash tax payments to the holding company over time?
Tom McInerney: I give that one to Dan.
Dan Sheehan: Okay. Thanks, Tom. So, we don't provide full guidance on earnings. But what I would say is that, so long as we have positive earnings coming out of Life business and positive earnings coming out of USMI, it's sort of simple math to say what do we have left in terms of debt service payments, and we have a little bit of other costs in corporate, but not a lot. And just do the math and flow it through your model.
Peter Troisi: Okay. Thanks very much for the answers.
Dan Sheehan: Thanks, Peter.
Operator: Thank you. So, we'll now take our next question from Joshua Esterov, CreditSights. Please go ahead.
Joshua Esterov: Hey, good morning, guys. Thanks for taking my question. Can you folks hear me all right?
Tom McInerney: We can.
Joshua Esterov: Yes. Okay, great. Can you give us a quick update to the extent you're able to, with regards to any conversations you might have had with the GSEs or anything you heard from the GSEs with regards to when they intend to start allowing capital distribution out of mortgage insurance operating companies?
Tom McInerney: We will start with Rohit, and then Dan.
Rohit Gupta: Sure. Thanks, Tom. Hi, Joshua. So, we currently are operating under GSE capital preservation requirements through June 21. And all of my companies are under the same requirements, where any dividends from operating companies have to be pre-approved by the GSE. We are in ongoing discussions with GSEs and FHFA all the time about how they are thinking about forbearance, how they're thinking about pandemic recovery. But until they make a final decision, we don't have any further guidance to provide on how they're thinking about capital or dividends in the future.
Joshua Esterov: Understood, I appreciate it.
Tom McInerney: Dan, anything to add to that?
Dan Sheehan: No, I think that was pretty comprehensive. Thanks, Rohit.
Joshua Esterov: Thanks, guys.
Operator: Ladies and gentlemen, as there are no further questions, I'll now turn the call back over to Mr. McInerney for closing comments.
Tom McInerney: Thank you very much, Shion. And thank you to all of you for joining the call today. While we're certain there are many more questions relating to our planned IPO of USMI, we really appreciate that everyone on the call today respected our inability to discuss the IPO beyond our prepared remarks, given the S-1 registration filing with the SEC. Having said that, and I hope as you got from Dan and my remarks, we are excited about Genworth's next chapter, and we look forward to continuing to update you as we execute our plans going forward. Thank you again for your interest and support of Genworth. And with that, I'll turn the call back over to Shion.
Operator: Ladies and gentlemen, this concludes Genworth financials first quarter conference call. Thank you for your participation. And at this time the call will end.